Operator: Good day ladies and gentlemen and welcome to second quarter 2009 Casey’s General Store earnings conference call. My name is [Francine] and I will be your coordinator for today. (Operator Instructions) I would now like to turn the presentation over to your host for today’s conference, Mr. Bill Walljasper, Chief Financial Officer. Please proceed sir.
William J. Walljasper: Thank you Francine. Good morning and thank you for joining us to discuss Casey’s results for the second quarter of fiscal 2009, ended October 31. I’m Bill Walljasper, Chief Financial Officer. Bob Myers, President and Chief Executive Officer is also here. Hopefully you all had an opportunity to see the press release. If you haven’t, please let me know and I’ll make sure a copy is forwarded to you. Before I begin I remind you that certain statements may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. As discussed in the press release and the 2008 annual report, such forward-looking statements involve known and unknown risks, uncertainties, and other factors that may cause actual results to differ materially from future results expressed or implied by those statements. Casey’s disclaims any intention or obligation to update or revise forward-looking statements whether as a result of new information, future events or otherwise. I’ll take a few minutes to summarize the quarter then open for questions. As most of you have seen, the company had a solid quarter in spite of a challenging environment with earnings per share from continuing operations of $0.54 compared to $0.55 a year ago. Earnings were driven by a higher than normal gasoline margin, increased sales inside the store, and margin expansion in the grocery and other merchandise category. For the second straight quarter we experienced a favorable gasoline environment, resulting in an average margin of $0.137 per gallon for the quarter compared to $0.136 a year ago. Gross profit in this category was up slightly to $43.5 million. The average retail price of gasoline in the quarter was $3.25 per gallon compared to $2.73 a year ago. As a result of the higher retail prices, we did experience some elasticity in demand with same-store gallons up 0.2% in the quarter and up 0.3% year-to-date. However, over the latter part of the second quarter gasoline prices dropped significantly, which enabled us to achieve a 3.1% same-store gallon increase in October. Lower retail prices continued to benefit same-store gallons in November. Sales continued to be strong in the grocery and other merchandise category and the overall margin is improving. For the quarter, total sales were up 6% to $265.1 million, with an average margin of 33.9%, up over 80 basis points from the same period a year ago. Same-store sales for the quarter were up 4.9% while gross profit rose 8.5% to nearly $90 million. Every area in this category experienced solid gross profit gains, especially in the cooler and from cigarettes. We saw cigarette pack sales rise to over 68% in the second quarter compared to 66% in the same period a year ago. We are pleased with the gains that we’ve been able to achieve in this category, especially in light of the higher retail gasoline environment and a more challenging economy. Same-store customer count remained solid in the quarter, up nearly 2%. Same-store sales in November continued to be strong. The prepared food category continues to perform exceptionally well. Total sales were up 11% to $87.8 million for the quarter. Same-store sales in the second quarter were up 9.3% with an average margin of 60.6%, down about 240 basis points from the second quarter last year, primarily due to the higher cost of cheese. The average cost of cheese this quarter was approximately $2.10 per pound compared to $1.60 a pound last year. Year-to-date same-store sales were up 10.8% with an average margin of 60.5. The sales increase was primarily due to the continued popularity of our menu offerings and strategic pricing increases taken earlier in the year. The price increases account for about 3 to 4% of the same-store sales increase. The strong same-store sales trend continues in November. At the six month mark, operating expenses are up 9.6%. For the quarter, operating expenses rose 10.3% primarily due to several large health insurance claims that came through late in the quarter, higher diesel fuel expense and a 22% increase in credit card fees. Without the effect of these three items, expenses would have been up about 7%. The average cost of diesel fuel this quarter was approximately $3.70 per gallon compared to $2.96 a year ago. We should start to have more favorable comparisons as we head into last half of the year. We did experience a slowing in the rise of credit card fees and transactions in October. Given the lower gasoline price environment, we should see softer fees going forward. Our balance sheet continues to be strong. At the end of the quarter, cash and cash equivalents were $137.8 million and shareholders equity rose to $698 million, up $50.6 million from the end of the fiscal year. We continue to pay down debt. Long term debt net at current maturities was down $12.2 million to $169.3 million. At the end of the quarter, our average long term debt to average total capital ratio, including the current portion, was about 26%. On the income statement, total revenue for the quarter was up 16.8% to $1.4 billion, driven by solid sales increases in the categories I mentioned previously and a higher retail price of gasoline. The number of basic shares outstanding in the quarter was 50,784,545 and a diluted share count was 50,963,211. We generated $70.4 million of cash flow from operations and capital expenditures were up over $20 million to $68.1 million, due to increased store growth and construction activity from a year ago. We anticipate this to increase in future quarters as we accelerate new store openings and continue to work on additional acquisition opportunities. This quarter we opened four new store constructions and completed four acquisitions. Year-to-date we have acquired 11 stores and built four. As indicated in the press release, we are on pace to build approximately 70 new – excuse me, 20 new stores by the end of the fiscal year and we remain optimistic about long term acquisition opportunities. Our store count at the end of this quarter was 1,463 corporate stores and three franchise stores. That completes my review for the quarter. We’ll go ahead and take your questions now.
Operator: (Operator Instructions) Your first question comes from [Megan O’Hara] - Friedman, Billings, Ramsey & Co.
Megan O’Hara - Friedman, Billings, Ramsey & Co.: I was hoping you could give some comments on what you’re seeing for gas margins for the first few weeks of 3Q and also what your outlook is for margins for the remainder of ’09?
William J. Walljasper: Well, it’s hard to give an outlook for the remainder of ’09 because as you know, Megan, the gas margin certainly has a fair amount of volatility, not only on a quarter-to-quarter basis but certainly even more so on a month-to-month basis. I can certainly speak probably more accurately to the month of November. I can tell you that the month of November we are seeing a pullback in the gas margin from what we just reported, which was that $0.137 per gallon. And we’re falling back closer to in line with historical average. Now keep in mind on caveat debt that comment by there is a fair amount of volatility month-to-month and in a typical month that can range anywhere from $0.07 to $0.15. So that can change pretty quickly.
Megan O’Hara - Friedman, Billings, Ramsey & Co.: And then I was hoping in terms of operating expenses, they were a little higher than we expected, but it looks like there were some one time items, if you could quantify the various items with the increase in insurance and?
William J. Walljasper: Yes. I guess I wouldn’t call them one time items, more probably unusual items that occurred. They could occur in the future but they were a little bit more severe than they normally would be. For instance, the large health insurance claims we actually had about three health insurance claims that came through in October. The tune of those were about $550,000 to $600,000. The fuel expense differential I mentioned in my narrative, again that’s another $0.01 on earnings. As we head into the fourth quarter you’re going to see a much more favorable comparison on the diesel fuel cost, so that should alleviate that issue. With respect to credit card fees, we have seen a slowing in the rise of credit card fees, Megan. I think that’s in part due to the lower retail prices that dropped significantly, primarily in the month of October. What we see in the quarter, and if you go back and dissect the quarter a little bit; August compared to last August, September compared to last September and October compared to last October, we are seeing a gradual decrease in the actual fees paid in those months, in any particular month. So we’re certainly we anticipate with the lower retail environment we should see a little softer environment with credit card fees as we head into the latter part of the year.
Megan O’Hara - Friedman, Billings, Ramsey & Co.: And then just lastly in terms of dairy prices, I guess with dairy prices coming down, what are your intentions as far as entering a hedge going forward?
William J. Walljasper: Yes, that’s a great question. We are constantly looking at that at the opportunity. As you know, that $1.60 per pound that I mentioned in the narrative that we had last year in the second quarter, we were in a forward buy achieve at that time. Now that forward buy achieve will actually cycle that come January 1, so we’re going to see a little bit more favorable comparison after we get through the third quarter with respect to cheese costs. It has come down subsequent to the end of the second quarter. It’s still not at a level that we feel – that we’re comfortable locking in on a forward buy.
Operator: Your next question comes from Alex Bissen – FTN Midwest.
Alex Bissen – FTN Midwest: Bill, in the press release there were some comments saying that the acquisition environment may be a little bit more favorable going forward. I was curious on what gives you confidence in that? You know, maybe what is the impact of lower gas prices due to that environment and credit as well?
William J. Walljasper: We certainly think on a longer term perspective. Acquisitions is a viable strategy for us with respect to unit growth. And unfortunately those come in lumps and you can’t always predict those. So it’s going to be a blind going forward. First of all, unit growth a combination of new store constructions, probably somewhere in the neighborhood of 20, 25 a year, and the remaining part of the unit growth will be through acquisitions. What gives us the idea that it’s going to be more op – that we’re a little bit more optimistic is the fact that our market area happens to be very fragmented. Over two-thirds of the C store operators in our nine state marketing area are operators of 10 stores or less. And there’s still a fair amount of pressure in the C store industry. You mentioned one of the factors that I think will kind of push maybe perhaps some of the smaller operators to look to have an exit strategy. That would be the credit crisis. It’s very difficult right now to go out and secure credit. Some of the credit lines are being pulled back. We’re fortunate that we do have some flexibility and we do have some financial strength in that regard. So I think that might bring about some opportunities as well. We’re seeing the multiples come in line a little bit more than what they have in the recent past, another indication that perhaps it might be a little bit more favorable environment.
Alex Bissen – FTN Midwest: Bill, just following up on that, do you think there’s any potential or any hope for a larger deal? You know, a bigger block of stores that you may be able to acquire and are you confident you could get the financing for it?
William J. Walljasper: Well, that, too, I count as a twofold question. First of all, there’s always opportunities of a larger scale. We’re always looking for opportunities of a larger scale. But we’re also looking for those smaller units as well. We’re not going to discard those in lieu of a larger opportunity. So yes, if it’s out there, we’re certainly going to track it down and approach it very aggressively. Now with respect to financing, I don’t have a concern in that regard. I don’t see financing being an obstacle for growth going forward. As I indicated we have about $137 million in cash and cash equivalents in our balance sheet. We do have a $50 million line of credit. Also, I do meet periodically with the investment bankers, those that are still in operation and certainly have my fingers in the capital markets and have an understanding of where we could go in the private markets to secure. I do have some of our current note holders approaching me, wanting to offer us more money. So I don’t see that as a concern going forward.
Alex Bissen – FTN Midwest: Switching gears a little bit, you know there’s some positive commentary in the press release on commodity costs, and I guess I’m really talking about ingredient costs coming down. How do you guys look at that? Is that opportunity to rebuild margins? Do you think you’ll have to give some of that back to consumers in terms of lower shelf prices? How do you think about commodity costs going forward?
William J. Walljasper: Yes, that’s a great question. And certainly commodity costs in general have softened a little bit subsequent to the quarter. As far as your question goes whether we’re going to, and I think I understand your question is whether we would lower retail prices in response to dropping commodity costs. I think that the only way we would do that if our competition in those areas began to drop their retail prices, we’d have to make some response not to lose market share. I don’t anticipate that happening, however. We’re not going to go out and actively drop our retail prices unless that does occur. And certainly we are revisiting with our suppliers the very fact that commodity costs have dropped, in particular the cost of fuel and diesel fuel has dropped subsequent to the quarter. And we may be looking for some relief in regards to some of the up charges that we have experienced over the past 12 months. So in answer to your question, I think there might be the opportunity for some margin expansion in light of the dropping commodity costs.
Alex Bissen – FTN Midwest: Did you say what traffic was in the quarter?
William J. Walljasper: About 2% on a same-store basis.
Alex Bissen – FTN Midwest: And kind of thinking about traffic and the lower cost of gasoline, I guess specifically thinking about the lower cost of gasoline, have you seen consumers change their behavior at all? Certainly you’re selling some more gallons, but are you seeing increases in gallons per trip?
William J. Walljasper: Absolutely. Without question, we are seeing increased gallon per transaction move up at the lower retails.
Alex Bissen – FTN Midwest: But I guess that’s not impacting your in store traffic. That’s still staying pretty robust.
William J. Walljasper: Yes, well certainly it does – I mean, if you look at it from this perspective, you know, we had a situation not too long ago about three, four months ago where people were filling up less gallons and coming back to the store more often. Now we have a situation they’re filling more gallons, so the need to come back for gasoline may be a little less than it was in prior months. So customer count may be impacted in that regard. However, from a same-store sales perspective inside the store, my comments I think were pretty optimistic that we’re still seeing very strong same-store movement inside the store. So the take-away from that, the buying habits certainly haven’t changed dramatically outside of more gas consumption on a per transaction basis.
Alex Bissen – FTN Midwest: Just one final question. Obviously gasoline, the cost of gasoline come down quite a bit, will that have any impact on your working capital needs?
William J. Walljasper: The only thing I think it would have an impact is if our credit terms changed for gasoline. Right now we have 10 days to pay for our gasoline. We turn that product over about every three days. So really we’re not in a negative working capital situation. So I don’t see a change in that regard.
Operator: Your next question comes from [Ben Bromo] – Morgan Keegan.
Ben Bromo – Morgan Keegan: Can you give us a little color on your fuel pricing strategy? I was a little surprised. I mean, it was a very healthy fuel margins relative to annual goals, but just a little surprised to see it down sequentially given the cost environment. If you could just give a little color on that.
William J. Walljasper: Yes, with respect to gasoline margin yes, certainly a $0.137 gasoline margin is obviously very robust relative to what we’ve done historically. What we saw was this. Normally as all of you probably know, normally in a downward movement of wholesale costs which we experienced in October and a little bit in the end of September, you have an opportunity to spread your margins. Certainly we did within that particular timeframe. But the drop in wholesale was so sharp in such a short period of time, retails responded very quickly and more quick than they have in the past. And albeit so we maybe did not see the type of margin expansion that maybe some of the sell side analysts or the buy side analysts anticipated, we still saw some very nice margin activity. So that was the environment that we were in.
Ben Bromo – Morgan Keegan: Do you think you gained any market share in Q2?
William J. Walljasper: Hard to say. It’s really such a short period of time, I’d be – I’d hesitate to even make that comment in such a short period of time. Obviously the same-store gallon movement late in the quarter with October was a very positive sign. And as I mentioned or at least alluded to, the same store gallon movement continues to be positive in November as we’re still in the lower retail price environment.
Ben Bromo – Morgan Keegan: I guess this is probably somewhat hard to quantify, but when you look at your competition in the markets, do you feel that you were priced below the competition in terms of fuel?
William J. Walljasper: I wouldn’t say that. I think the only time – I mean, as you know Ben, I mean our philosophy with the gas pricing is to match the competition. We identify who that competition is in a geographic area surrounding our store, and then we’ll check that periodically throughout the day and make adjustments accordingly. That philosophy hasn’t changed in the time I’ve been with the company. I mean, it certainly hasn’t changed recently. The only time that we would be below our competition is if we felt our competition was maybe taking advantage of the situation unjustly and certainly are not going to be in a position to gouge a customer.
Ben Bromo – Morgan Keegan: Recently I’ve heard and kind of read of some price wars in the Midwest region. Are you seeing anything like that in November?
William J. Walljasper: Yes, we have seen it. It’s in certain pockets of our nine state area. The St. Louis market area certainly is being very competitive with their pricing. And I think overall, with respect to the most recent month relative to what we’ve seen in the past 12 months, it’s certainly a more competitive pricing environment.
Ben Bromo – Morgan Keegan: On the operating expenses when you look to Q3 is there any reason to expect a dollar consequential increase given all the favorable cost movements, lower credit card fees, internal fuel expenses, etc.?
William J. Walljasper: Do you want to rephrase your question for me? Are you asking me are we going to see a downward movement in dollars or a decrease in the?
Ben Bromo – Morgan Keegan: The dollar movement. Is there any reason to expect operating costs to – it’s actually operating expenses to increase from Q2 to Q3?
William J. Walljasper: Well, I’ll hedge that and say that I’ll probably answer it in this particular fashion. As we come into the third quarter there are things working in our favor, just from a pure comparative standpoint. As you may recall we did have a relatively severe tanker accident that ran through the third quarter last year. Not that we don’t have tanker accidents, but in the 19 almost 20 years that I’ve been with the company, we’ve not had a tanker accident that cost us a penny on earnings. And that ran through the third quarter. So that ran through the operating expense insurance line. Also as you may recall we had a very harsh winter last year. That’s not saying we’re not going to have a harsh winter, but I can tell you the month of December was just a horrendous weather month for us, having a major snowstorm or ice stream every weekend of the month, so utilities certainly ran higher than normal. Then some other insurance type claims with slip and falls associated with the inclement weather was we were comparing against. So I see us being in a very favorable situation from a comparative standpoint on operating expenses.
Ben Bromo – Morgan Keegan:
Operator: Your next question comes from Anthony Lebiedzinski - Sidoti & Co.
Anthony Lebiedzinski - Sidoti & Co.: Looks like there were some reports out there forecasting farming income is going to be down in 2009. You know, what’s your take on that if that’s true? How would that impact your business and your customer traffic?
William J. Walljasper: I really would not look for that to have a material impact on our customer traffic. And we’ve seen the agricultural economy robust as we have seen recently. We’ve also seen it where it’s been a little bit more challenged, and we have fared very well in both of those times. So I don’t think I would see material change in our business in that regard.
Anthony Lebiedzinski - Sidoti & Co.: So with falling commodity costs, is it safe to assume as you don’t plan to do any more price increases as you have done over the past several quarters?
William J. Walljasper: I would never say that, but certainly we would have to take a stronger look at that. If we feel there’s opportunities from a strategic standpoint that still may happen. But given the fact that we’ve had a series of price increases over the last 12 to 18 months, maybe a little bit less likely than what it had been back then.
Anthony Lebiedzinski - Sidoti & Co.: I was also wondering given the falling gas prices, has there been any significant change in credit card utilization from your customers?
William J. Walljasper: Yes. Yes. And I say that just a little bit hesitant because it’s only one month or so, and whether it’s a trend or not, I wouldn’t come out and necessarily say that. But as I look at and I look at it different ways, Anthony, if I look at just the fees that we pay in the quarter obviously they’re down relative to the increases we’ve been experiencing in the past quarters. As I mentioned, we had a 22% increase in credit card fees but we have been tracking at 30, 35% and sequentially I look at August, September, October I see a gradual decrease in the fees. When I go look at the transactions, I also see a gradual decrease in the transactions of credit cards in those same period of those same months. So we’ll keep our eye on that and see if there’s a situation where we have actually maybe plateaued in credit card fee utilization or actually we are coming down and we’ll report on that accordingly.
Anthony Lebiedzinski - Sidoti & Co.: So what’s the percent of transactions that were that you had the credit usage in the quarter? Can you quantify that?
William J. Walljasper: Yes, absolutely, when I look at the $1.4 billion in sales that we did in the quarter, of those sales about 51% were credit card sales. They were about 52% in the Q1 of ’09 to kind of give you an idea sequentially.
Operator: Your next question comes from Karen Howland - Barclays Capital.
Karen Howland - Barclays Capital: I was wondering if you could – you were talking about acquisitions before, did you say that the multiple [paper we’re] expecting have come down? Have you changed your threshold as far as what multiples you would be willing to pay?
William J. Walljasper: No, we haven’t changed. No. But what we are seeing is that disconnected we have seen in the past roughly 12 months starts to narrow to be a little bit more reasonable. It wasn’t uncommon to see double-digit multiple requests for some of the assets we were looking at. And that seems to be narrowing. That was the point of the comment.
Karen Howland - Barclays Capital: Despite the fact that presumably your competitors are also right now tracking off of record high gas margins?
William J. Walljasper: Yes. They are coming back in line.
Karen Howland - Barclays Capital: And do they seem to recognize that they have to be the multiple has to be applied to a normal cash flow level as compared to an inflated gas margin level?
William J. Walljasper: Well, we recently tried to educate them that direction. That’s for sure. Because that’s exactly right. The caution that we have here is trying to apply a multiple what seems to be a reasonable multiple on maybe an unsustainable cash flow based on a maybe a gas margin that’s going to come back to more historical levels. Now I will say this, Karen, if the gas margins we’ve been experiencing over the last six quarters continue, eventually then things will change. Because we typically look at three year averages of gas margins to try to come up with their three year average and our three year average. So obviously if we continue to have high gas margins, those are going to be incorporated into that type of calculation.
Karen Howland - Barclays Capital: And you’re saying, though, so far November they’ve come back down towards the more normal $0.108 to $0.11?
William J. Walljasper: Not just in November but probably over the last quarter that they’ve come back into more normalized level. And when I say normalized level, we’re seeing it closer to that 5.5 to 7, 7.5 type range on a trailing basis.
Karen Howland - Barclays Capital: If I look at your operating expenses, I was wondering if there’s any incremental operating expenses associated with the fact that you’re opening up new centers this year as compared to I think I don’t believe you opened up any last year?
William J. Walljasper: Yes, you’re exactly right. Obviously when we open more units we’re going to have some operating expenses to operate those particular units. So certainly as I mean we only opened 12 stores last fiscal year. We have 15 through the first six months, so as we accelerate that towards the latter half of the year the operating expense sector to that certainly will come through in those periods.
Karen Howland - Barclays Capital: And any indication – any thoughts as far as on a per center basis what the incremental operating expense would be?
William J. Walljasper: No, we really haven’t given that out, Karen. I wouldn’t look for us to try to dissect that and pull that out. And really quite honestly, Karen, it’s hard to predict because it will depend on the volume that that new store is generating. We may have a store that’s a little slower to mature, that may not be generating the same type of operating expenses as a store that just takes off gangbusters. They’ll certainly have high utility costs, probably higher wage costs, more credit card fees associated with it. So it’s a little bit more challenging to predict on a per unit basis like that.
Karen Howland - Barclays Capital: And then I think you were talking about the credit card utilization and the credit card fees, were you saying that you actually expect the credit card fees to be down or the growth rate to be down?
William J. Walljasper: Growth rate.
Operator: Your next question comes from Michael Smith - Kansas City Capital.
Michael Smith - Kansas City Capital: What was the capital expenditures in the second quarter and what have you got them programmed for the year, I guess if you take your goal of 55 to 60 new stores?
William J. Walljasper: Yes, well, coming into the year, Mike, the CapEx budget was $130 million. The Q will be coming out this Friday. You’ll see a comment in the Q that we still anticipate to be about $130 million. Now the CapEx for the first six months was $68 million, $68.1 million. I’ll break that down into some buckets for you. That might help you out. New stores which would include constructions in progress is about $17 million. Acquisitions are going to be about $12 million. Replacement stores are about $17 million. Transportation about $6 million and then the remaining $16 million or so is going to be just remodeling and general maintenance. That should get you right by about that $68 million.
Operator: I’m showing we have no further questions in the queue. I’d like to turn the call over to Mr. Bill Walljasper for closing remarks.
William J. Walljasper: Thanks Francine. Again I’d like to thank everybody. And as a reminder, same-store sales for November will be released December 15. Thanks again and enjoy the holiday.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect.